Operator: Good day, and welcome to the Peabody Q2 2025 Earnings Conference Call. [Operator Instructions] Please note that today's event is being recorded. I would now like to turn the conference over to Vik Svec, Vice President, Investor Relations. Please go ahead, sir.
Vic Svec: Well, thank you, operator, and good morning, everyone. Thanks for joining today to take part in Peabody's second quarter call. Remarks today will be from Peabody's President and CEO, Jim Grech; CFO, Mark Spurbeck; and our Chief Marketing Officer, Malcolm Roberts. Following remarks, of course, we'll open up the call to questions. Now we do have some forward-looking observations today. You'll find our full statement on forward-looking information in the press release. We encourage you to consider the risk factors referenced there, along with our public filings with the SEC. And I'll now turn the call over to Jim.
James C. Grech: Thanks, Vic, and good morning, everyone. Peabody has had a great first half of the year. We've had record safety, solid volumes, strong cost containment. And on the basis of both our performance and our prospects, I'm pleased to report that we're raising our full year guidance. To echo my first quarter theme, the Peabody team continued to do an excellent job of controlling the controllables in the first half, with second quarter costs coming in below our expectations. Our ability to manage cost is a key driver of success at a time of cyclical market softness in the seaborne markets. Also of note, today, we announced an acceleration of longwall operations at our flagship premium hard coking coal mine, Centurion. We're now targeting longwall start-up in February 2026. This improved timeline reflects strong execution across our operations team. By way of progress, we plan to start installing longwall shields in November. Workforce expansion remains a key focus, and we already have approximately 260 employees hired. Through an active recruitment process, we aim to reach a headcount of around 400 by early 2026 to support full production. I'd be remiss if I didn't also speak of the strong tailwinds in the U.S. markets. Last quarter, the President signed executive orders to revitalize the U.S. coal industry and expand the use of coal fuel generation. And earlier this month, the One Big Beautiful Bill was passed. It delivers long overdue relief to American coal producers by reducing royalty burdens, streamlining permitting and restoring regulatory certainty, enabling the industry to compete, invest and power the nation with confidence. How does the Bill benefit Peabody? First, the reduction in federal royalty rates on mining leases from 12.5% to 7% is expected to generate substantial savings in the PRB beginning this quarter. Based on initial analysis, Peabody anticipates $15 million to $20 million in net benefits from the royalty changes in the second half of 2025, and this should also improve PRB competitiveness going forward. Also, the bill provides a 2.5% production tax credit starting January 1 for eligible domestic coal used in steelmaking, a benefit that applies to our Shoal Creek metallurgical mine in Alabama. As evidence of the need for renewed focus and common sense in U.S. energy policies, this legislation, combined with rising electricity demand marks a clear turning point for U.S. coal. It reframes coal not as an inconvenient truth relic, but as a critical cornerstone of grid reliability and energy independence. The June 2025 heat wave made this clear. As demand surged across PJM and MISO, it was coal and natural gas that kept the grid stable, while renewables were unable to scale quickly enough. To frame the new electricity landscape in the U.S., just one independent system operator recently forecasted a 32 gigawatt increase in power demand by 2030 and 30 gigawatts are related to data centers. To put this in context, they noted that increase is comparable to adding 20 million new homes to the grid in the next 5 years. When thinking about coal in the future, I'd ask you to focus on 6 surprising words. The world is turning towards coal. I'll remind investors that the IEA reports that the world set a record for coal demand in 2024 after doing so also in 2023 and has not yet peaked. And U.S. coal is clearly in comeback mode as it should be. The U.S. has more energy in its coal reserves than any nation has in any one energy source. Malcolm, I'll now turn the call over to you to give a bit more color on the markets.
Malcolm Roberts: Thanks, Jim. And I'll add a few details regarding U.S. dynamics before turning to seaborne markets. In the U.S., we have seen a great first half of the year with coal fuel generation up a whopping 15% over the first half of 2024. That's a function of coal increasing share given higher natural gas prices relative to the prior year as well as a growing electricity generation pie as industrial activity and emerging data center demand underwrites continued electricity demand growth. That terrific picture has translated into higher demand more than improved pricing at this stage. We note customer stockpiles are down some 15 million tonnes versus this time last year. That represents an 11% reduction from a year ago, the lowest level since 2022. That bodes well for tightening the U.S. thermal supply and demand fundamentals as we move forward. In addition to existing coal plants running much harder this year, we continue to see deferrals of retirements within the U.S. coal fleet. Simply put, most utilities need all the electrons they can muster and coal plants offer some of the best incremental generating capacity with predictable fuel costs, reliable performance and readily storable fuel that is ready for dispatch 24 hours a day, 7 days a week. Deferrals of coal plant retirements have directly translated into new coal supply agreements for Peabody, a phenomenon that we expect to continue. We have increased PRB volumes this year and are sold out at our flagship North Antelope Rochelle mine at these higher levels. My final point is that recent moves in the U.S. to increase LNG exports, including the recent U.S. agreement for major new energy purchases by Europe should only tighten U.S. natural gas supplies as it moves to a greater parity with seaborne LNG. Seaborne thermal coal markets are also finding support in recent weeks. Demand has been driven by hot summer weather in Asia and really across the whole Northern Hemisphere. And that has reduced stockpiles and driven stronger bids. We have seen greater spot demand from our premium markets such as Japan as they move to secure additional supplies as coal burn exceeds anticipated levels. China's import demand had been under pressure due to a 6% increase in domestic coal production through May, along with stronger renewable generation, thermal power generation is down 3% year-to-date, limiting their appetite for imported coal. In India, high stockpiles and lower electricity demand has also been keeping import volumes subdued. Thermal supply is adjusting to softer demand and lower prices with Indonesia and Colombia, in particular, reducing exports. For seaborne metallurgical coal, we naturally avoid forecasting prices, but we are observing meaningful supply curtailments and policy adjustments that suggest we are midway through what is typically an 18- to 24-month downward portion of the price cycle, and we are beginning to see some green shoots. China remains the world's largest coal consumer, given that it accounts for over 60% of global steel production. And there, we are seeing some classic early signs of a market turnaround. That's true in steel, where recent production curves have been announced, which are expected to have a dampening effect on Chinese steel exports moving forward, aiding steel production from countries that rely on met coal imports to a greater degree. It's true in coal production where the government has just announced its cracking down on provinces and coal mining companies exceeding production quotas, and it's true in infrastructure, where projects such as Yarlung Tsangpo Dam in Tibet are being developed. This dam will be by far the largest in the world, will use large amounts of steel and concrete and will cost more than 100x than the Hoover Dam in the U.S. on a current dollar basis. These elements combined to suggest that the Chinese playbook is being executed similar to past downturns. While China remains a key influence this time around, Indian demand growth may drive the next leg of recovery. India enters the monsoon season with just 36 days of inventory and limited restocking activity. We look for a number of new blast furnaces to accelerate seaborne coal demand growth by 8 million to 9 million tonnes during the second half of 2025. I'll remind investors that the production of a tonne of steel in India uses 4x to 5x the amount of seaborne metallurgical coal as a ton of Chinese steel, given that India doesn't have notable domestic quantities of met coal. This phase of the met coal cycle also reflects the supply contraction in prior times. By our estimate, over 25 million tonnes of met coal capacity remains offline globally with substantially more volume in loss-making mode at these levels. Bottom line, while this part of the cycle has not been pleasant, we see it playing out in a similar way to past cycles. We are seeing early signs of an upturn with the real question of not if, but instead when. That's a brief review of the coal market dynamics. I'll now turn the call over to Mark.
Mark A. Spurbeck: Thanks, Malcolm, and good morning, all. As Jim mentioned, we had another strong quarter and continue to successfully navigate a challenging seaborne price environment. Seaborne pricing continued to ebb with the broader industrial cycle, steel production and power generation in the second quarter. But with the cyclicality comes great opportunity. Our strategy remains to manage the lower points of the cycle to capture outsized free cash flow when we return to better price points. Peabody manages that volatility with a fortress balance sheet, effective capital allocation, operating cost discipline and a diversified asset portfolio. This quarter, our U.S. thermal platform led the way, generating $57 million of adjusted EBITDA. Let me add some insight into the second quarter financials. We recorded a GAAP net loss attributable to common stockholders of $27.6 million or $0.23 per diluted share, while generating adjusted EBITDA of $93 million. The team turned in another great quarter of cost management with 3 of 4 segments coming in better than company targets. PRV volumes came in higher than expected. We generated $23 million in operating cash flow, using some cash from the balance sheet to continue development at Centurion, now just 6 months away from longwall production of premium hard coking coal. We ended the quarter with $586 million of cash and nearly $1 billion of liquidity. Let's review the quarterly segment results. The Seaborne Thermal segment recorded $33.5 million of adjusted EBITDA and 17% margins, even with a loss of 400,000 tons from end-of-quarter port congestion. Regardless, the segment still beat second quarter cost guidance. Margins remain robust in the face of a modest price environment, underscoring the strength of our position on the thermal cost curve. The Seaborne Metallurgical segment reported adjusted EBITDA loss of $9.2 million or 23% lower average realized prices year-over-year. Costs remained well below company targets as the team continued to control the controllables while investing in the Coppabella Highwall with additional overburden movement to ensure more reliable production for years to come. The U.S. thermal mines generated $57 million of adjusted EBITDA. This platform continues to demonstrate why we believe the U.S. business with its stable free cash flows and low capital requirements is underappreciated and remains a key part of our leading diversified asset portfolio. In the Powder River Basin, sales volumes exceeded expectations even with 11 inches of rain over 60 days in Q2 or nearly their full year average rainfall. With that rain came excess moisture, leading to a negative $0.20 per ton quality adjustment to realized sales price, making the $2.16 per ton margin even more impressive. The PRB improved margins by better than $1 per ton year-over-year and generated $43 million of adjusted EBITDA. The other U.S. thermal segment delivered $13.5 million of adjusted EBITDA. Sales volumes were less than expected as Bear Run experienced poor rail performance and Twentymile continued to operate in challenging mining conditions in the 6 East panel. The Twentymile is eagerly anticipating finishing that panel in the next couple of weeks. We will begin moving the longwall to a new district in mid-August and should start cutting coal in the [indiscernible] East panel at the beginning of the fourth quarter. The [indiscernible] East Panel is positioned at the edge of a coal seam with much better geology, and we expect to return to historical production rates. Looking ahead to the third quarter, Seaborne thermal volumes are expected to be 3.9 million tons, including 2.7 million export, 600,000 of which are priced on average at $82 per ton, while 1 million tons of Newcastle product and 1.1 million tons of high ash coal are unpriced. Seaborne thermal cost per ton are expected to be between $45 and $50 per ton, in line with full year guidance. Seaborne met volumes are targeted at 2.2 million tons, consistent with the second quarter, while costs are expected to improve a bit further to $115 per ton. In the PRB, we expect a significant increase in volume to 23 million tons. Costs are also expected to improve from the second quarter and come in lower at about $11.25 per ton, leading to continued robust margins. Other U.S. thermal coal shipments are expected to increase to 3.7 million tons with better rail performance at Bear Run. Costs are also anticipated to improve to approximately $47 per ton. Rounding out the discussion with several favorable changes to full year guidance. Seaborne thermal volumes are anticipated to be 200,000 tons higher and cost $3 per ton better at $45 to $48 per ton. Seaborne met cost targets are better by $7.50 per ton to $150 to $120 per ton. With the strong first half and recent legislation, the company is increasing PRB volumes by 5 million tons and lowering full year cost by $0.63 to $11.5 to $12. We are also reducing full year CapEx $30 million to $420 million. Jim, I'll now turn the call back to you.
James C. Grech: Thanks, Mark. Before turning to questions, I'll now give a brief update on the previously planned acquisition of assets from Anglo American. Here's where we are. It has now been 4 full months since the ignition incident at Anglo's Moranbah North mine, and yet there is still no credible timetable on the resumption of sustainable longwall mining. Impacts on the value of the assets include monthly lost production and revenue, carrying costs of tens of millions of dollars per month, expected capital related to new longwall equipment that will be needed for sustainable longwall mining, significant probable derate of future productive capacity at the mine and questions around both the availability and willingness of the workforce to resume safe underground longwall mining in the current panel if regulators ever allow it. Our understanding of conditions underground, along with the continued passage of time has further confirmed our strong belief that a material adverse change has occurred. A thorough review has led to this perspective by our underground mining team, our engineering staff, third-party experts and executive management. While some modest near-term activity may occur, this should not be mistaken as being equivalent to having a predictable timeline and quantifiable cost and productivity impact assessments associated with achieving sustainable mining in the current longwall panel. Four full months after the event, the exact cause of the ignition event remains unclear. And by Peabody safety standards, we would not restart operations at the current longwall phase. We are highly confident that sustainable longwall mining won't take place at Moranbah North until after a new longwall is fully commissioned in a new section of the mine in 2026. The priorities we identified several months ago have not changed. Peabody intends to rely on its rights under the purchase agreements, which give Peabody the ability to terminate. Any revised deal would require a substantial revision in value and structure that reflects the material change in the previously agreed-upon transaction as well as safe, sustainable longwall mining at Moranbah North at forecasted volumes and cost. Peabody has not reached a revised agreement with the seller, and we intend to provide a further update on August 19 after the 90-day MAC cure period expires. We appreciate your patience as we conclude a process that has now been underway for nearly a year. With that, operator, we can now open up the line to questions.
Operator: [Operator Instructions] And today's first question comes from George Ede with UBS
Unidentified Analyst: Thanks for the time today and hope you are keeping well. Could you maybe please help us start with Moranbah North and the MA. Just help us understand how you're thinking about going forward under the MAC in the scenario where you're found liable in, say, 2 years. This may be unlikely in your view, but I'm sure it's a scenario you've considered and have put quite a bit of thought into. So could you maybe help us how you would think about paying for such a liability and maybe some color how we should be thinking about it in terms of potential cash build and returns over the interim period if you were to declare a MAC.
James C. Grech: Yes. George, thanks for the question. Look, we're very, very confident in our MAC position going forward. So if you look at what's been going on at the mine, as I said in my comments, it's still to be determined the exact cause of the ignition, right? So the impacts of future operating conditions are unknown. There's no known credible restart date for this mine. And while that's occurring, while the mine hasn't restarted, there's significant monthly carrying costs being occurred. And we -- as I said in my comments, we consider what the future scenario that longwall panel is going to be sealed off and the need of a new longwall being in place in a different area of the mine will be the path to getting sustainable longwall production again at that mine, and it's probably going to be at a significant derate going forward because of new operating conditions because of the past operating history of the mine. And on top of that, you have all this monthly lost production and revenue. So again, we are very, very confident in our MAC going forward. And if we have to pursue this in arbitration, we are ready to do so.
Unidentified Analyst: Just on that, if you do continue with the MAC, if we get 2 years down on a small chance maybe in your view that you are sound liable, like how should we think about cash returns in the balance sheet over the next 2 years going to that period, even though it might be very unlikely, it still is a chance.
James C. Grech: So again, George, I'm not sure your question exactly. We have our program in place where we returned 65% of our adjusted free cash flow back to our shareholders at least 65% of our adjusted free cash flow. So that's the program we have in place. So if you're asking about that, that's not going to change. And if you're asking about a possible arbitration ruling or something, we don't -- we're not taking a -- we're not going to put any reserve for that because that's more likely than not that we would face damages. So your questions for us are just purely hypothetical about damages occurring. We are 100% confident in our MAC, and we are 100% confident if we go to arbitration that we would be proved correct in the position we're taking.
Unidentified Analyst: Okay. No, that's fair. And maybe just switching gears to Centurion. Can you remind us maybe what the latest there is on the sell-down timing? And then given this is a restart project and we spend a lot of time talking about longwall reliability of the Goonyella theme, is there any chance or any talks of a clause in that contract with the sell-down that a buyer could potentially have the right to walk away or adjust terms if certain production hurdles haven't been met? Is that something that's being considered?
Mark A. Spurbeck: George, again, you're asking a hypothetical, and I'm not going to go down that path. And if we were in negotiations, I wouldn't comment on those negotiations. But again, as for Centurion, that's the potential is the sell-down of Centurion, and it's no way a commitment that we're going to do so. We'll make a decision how we're going to handle Centurion based on what's best for our shareholders going forward and has nothing at all to do with, obviously, this Anglo situation. So I have no comment on any possible terms because there aren't any possible terms to be discussed right now.
James C. Grech: Okay. Timing though, is there any indication you can give of when it could potentially happen or. No, there's nothing -- I'm not going to give any timing indication. We have had a lot of interest, and we have had some discussions at this point in time, but we feel in no hurry to make a decision at this point in time on Centurion.
Operator: And today's next question comes from Chris LaFemina with Jefferies.
Christopher LaFemina: I just wanted to ask a couple of follow-ups actually on the Anglo deal. So Anglo this morning talked about being constructive and flexible in their discussions with Peabody. And it sounds like the discussions obviously haven't gone very well. And the first question I would have is whether you're in current discussions with Anglo have hit an impasse and now things are kind of on hold and maybe you restart negotiations before the August 19 deadline. But are you speaking with them now or are things just kind of everybody on the sidelines right now?
James C. Grech: Yes, we've had very candid and respectful conversations with Anglo. And we at the highest levels between the 2 companies. But I'll say the status is right now, we just have a very fundamental disagreement over the quantum of the impact. We are obviously 100% certain there's a MAC, and we feel we have all of the data, it's evident to back that up. And right now, my assumption is that Anglo is saying that there isn't a MAC occurring. So we have a fundamental disagreement over the mine, the status of the mine and the quantum of the impacts of what's occurred at the mine. So we've had some very -- again, very respectful discussions. I'm appreciative of the give and take that's been going back and forth. But again, we just have a fundamental disagreement of the status of the mine now, how it's been over the past 4 months, how it's going to be for the rest of this year and how it's going to be next year going forward.
Christopher LaFemina: So the dispute here is related to whether Moranbah North is a MAC event. And is there a potential solution where you meet in the middle where you kind of structured the initial deal with the [indiscernible] asset on contingent deferred payments. How about something like that related to Moranbah North? I mean if they -- if you think it won't come back online, they do, well, you don't pay for it unless it does kind of thing. I mean is that -- is there some sort of -- I'm sorry to ask a hypothetical question, but just trying to think of where the 2 sides can meet in the middle where you can -- basically, if the mine comes online, you pay for it, if it doesn't, you don't.
James C. Grech: Chris, you sound like you're trying to be a mediator in a dispute. So I appreciate the efforts. But look, I'm not going to get into any negotiations on an earnings call. And August 19 date isn't that far away from us. And at that time, we can just talk freely about everything that's going on.
Christopher LaFemina: Okay. And then just the last question. If you do go to arbitration, let's assume that were unfortunately to happen. Does the BUMA transaction terminate as well? What are the consequences of going to arbitration?
James C. Grech: Yes. If we terminate the deal, then the BUMA transact -- the deal we have with BUMA terminates as well. It's back to back.
Operator: And the next question is from Nick Giles with B. Riley Securities.
Nicholas Giles: Just a first follow-up on Anglo. I mean the views on Moranbah North impact continue to differ substantially. So I was just wondering if you had any additional color on what should we be looking for on August 19 when you come out with this update? I mean, should we be thinking that the termination will shortly follow? Can you just kind of remind us of the factors and potential timelines at play on the back of that update?
James C. Grech: Yes, Nick, again, I'm not going to get into negotiations or hypotheticals of what may be occurring on August 19. I'll just say that there was a 90-day period to cure the MAC. And at the end of the 90-day period, we have the right to terminate the agreement. And that's the situation, and we'll wait until August 19.
Nicholas Giles: Understood, Jim. And apologies if I missed them all, but you did list a number of factors that underpin Peabody's view that the MAC has occurred. And I couldn't quite compare those to the ones that you provided last quarter. So I was just wondering if -- could you provide us what -- which of those factors are somewhat incremental or which have changed in your mind?
James C. Grech: Yes, Nick, I'm not sure to compare to previous statements you're asking me to. I don't have that in front of me to compare one set of statements to the other. What I will say is in order to solve a problem, you have to understand what the problem is. And to date, the exact cause of the ignition has not been determined. So again, so how do you address that is -- still needs to be addressed, all right? And then there is the status of the current longwall. And is that longwall recoverable in the current panel? Will it be running again in that panel, which, again, we don't think is a scenario that's going forward. And then you're going to have rates -- probable derates of the facility going forward because of future operating conditions that are put on based on the past operating history of the mine. And then also, you have all the monthly loss production and revenue. And we think this is going to go on well into -- not well into -- I shouldn't say that into some point in time next year. So all of those factors are in there. And again, I'm not sure how that compares to what I said previously.
Nicholas Giles: Got it. Understood. Appreciate Jim you walking us through what you can here. But maybe just on the operating side, you've lowered your seaborne thermal cost guidance by $3 a ton at the midpoint. So unless I'm mistaken, I think the full year guide still implies that costs could be higher in the second half. So just wondering what are the ultimate drivers there? I mean we do have Wambo coming offline, which I know was to lower cost. So I'm just trying to figure out which factors are offsetting each other.
Mark A. Spurbeck: Nick, it's Mark. You're right. The team has done an absolutely incredible job managing costs. We talked about this last quarter, another great quarter of costs, really leading us to believe that those costs are going to be lower on a full year basis. We did lower them $3. We missed 400,000 tons purely due to port congestion. We've seen a lot of that come back in July. We've raised our full year guidance by 200,000 tons in the segment, and the net result is lower cost by $3 for the full year. So really happy with all the progress we've made.
Operator: Our next question comes from Katja Jancic with BMO Capital Markets.
Katja Jancic: Maybe going back to Centurion. Given that it is -- the development is progressing ahead of schedule, can you talk a bit more about how this could impact the sales targets there?
Mark A. Spurbeck: Katya, it's Mark again. A couple of things. One, yes, pulled that longwall production forward earlier into the first quarter of next year, really just 6 months from now. So very exciting time. Think back the company is self-funded by organic cash flow, $600 million to date on the development of that key asset, about $100 million to go in the south before that longwall production starts. Pulling it forward earlier, we'll obviously start production earlier. But when you look at the timing of the production there, it probably also may accelerate a longwall move, their first longwall move. So previously, we have 3.5 million tons out there for next year production. We're not changing that yet today.
Katja Jancic: Okay. And then maybe on the PRB cost, just to confirm, that includes now the new royalty rate?
Mark A. Spurbeck: Yes, it does. So the lower reduction from 12.5% to 7% is baked into that guidance. So increased volumes by 5 million tons in the PRB for the full year, seeing continued strong demand. We will have a benefit to our costs in the second half of the year due to that lower royalty rate. As we mentioned last quarter, a portion of that does go back to certain customers. We'll actually see that as a net reduction in revenue, our average realized sales price. So a little bit comes out there. But net-net, we're looking at about a $0.40 per ton benefit to Peabody over second half tons. So that's in that $15 million to $20 million range.
Katja Jancic: And then going to next year, I think on an annualized basis, it would be closer to $60 million, if I'm not mistaken. Is there opportunity to further increase the potential benefit versus what you're getting right now?
Mark A. Spurbeck: Yes. Going forward, obviously, that benefit, as Jim mentioned in his remarks, will make the PRB coal just more cost competitive. So we expect that to help overall volumes. How much of that is the Peabody's account will depend on new contracts as we sign that up. Right now, we're probably about 2/3 signed up for '26 and maybe 50% for '27.
Operator: [Operator Instructions] And the next question comes from Nathan Martin with -- the Benchmark Company.
Nathan Pierson Martin: I think a lot of my questions have been touched on, but you mentioned Shoal Creek will benefit from the 2.5% production tax credit for met coal that was included in the Big Beautiful Bill. Could you guys put a savings estimate kind of around that like you did for the PRB?
Mark A. Spurbeck: Yes, Nate, just a reminder, that doesn't take effect until January 1, 2026. So nothing in the full year guidance for that. But I put it about $5 million a year.
Nathan Pierson Martin: Okay. And then maybe while I have you, I know I've talked about this on numerous occasions, but once again, operating costs this quarter as well as resource management results added significantly to the 2Q adjusted EBITDA. Any specifics there to call out? I know these segments are lumpy, but can you talk about what your expectations are here for the second half? Are there any other big drivers you see there?
Mark A. Spurbeck: Yes, Nate, you're right. We did have some unexpected performance really from some asset sales in the second quarter. We had a continuous minor sale at the Wambo underground mine. As you recall, that will be closing down in the third quarter as well as some miscellaneous U.S. land sales. We have a large portfolio of land and from time to time, we optimize that portfolio, make sales of these assets. It is lumpy and unpredictable. I will say that, that offset the 400,000 tons we lost in the U.S. thermal business really mostly due to that poor rail performance at the Bear Run mine as well as the 400,000 tons we lost just simply due to port congestion, which we're making back up, obviously, in the second half by increasing that full year guidance. So those 2 kind of really offset each other and everything is on track.
Nathan Pierson Martin: Are there any big items you kind of see over the second half, Mark, or still uncertain?
Mark A. Spurbeck: No. As far as the other items, there's nothing to forecast there.
Nathan Pierson Martin: Okay. Got it. Helpful. And then maybe finally, just switching gears. As I'm sure you guys are aware, one of your peers in the PRB is ramping up the new rare earth mine. It's been getting a lot of attention. Jim, has Peabody done any testing of its reserves at this point to see what, if any, reads are present? Just thinking about this given the favorable administration and regulatory backdrop we're seeing currently.
James C. Grech: Yes, Nate, that's a timely question. We are advancing into what I'll call a second phase of our rare earth element evaluation program in the PRB. And we had an initial study that we did with the University of Wyoming that we concluded last year. So now we're into the second phase. But the initial data from that study suggested that our roof and floor strata adjacent to the current mining seams could contain some elevated levels of these rare earth elements at both our NARM complex and our Rawhide complex. And these initial indications that we have seem to show that we have better -- the same or better concentrations than others are reporting the PRB. And I will say one thing that is important to note as we move forward with this, the rare earth elements that are sitting in these clays are very accessible to us because we're already uncovering them in the coal mining process. We need to develop new mines to excavate this overburden. So this quarter, we're going to do some more sampling and laboratory analysis at our sites. So we're in some very early days, but we certainly have more than enough information justifying going forward. So this is not very -- any real appreciable capital for us right now. We're in the study phase, Very, very encouraging initially. But I guess I'll leave it. Stay tuned for some more information as we advance this.
Operator: And the next question is a follow-up from Nick Giles with B. Riley Securities.
Nicholas Giles: Just one on liquidity. You ended the quarter with $586 million of cash. And I was wondering if you could remind us how much of that cash is fully unencumbered? And then maybe related, sorry if I missed this, but how much has been spent or how much spend remains at Centurion to ultimately bring you to commercial production?
Mark A. Spurbeck: Yes. Thanks, Nick. No concerns here. On the cash on the balance sheet, that total amount of cash and cash equivalents of about $586 million is unrestricted, unencumbered and fully available to the company. You do see on our balance sheet a separate line item for restricted cash and collateral of about $800 million, $850 million. Again, that primarily relates to all the prefunded of the reclamation liability across the globe. And then as far as Centurion capital for the South development, there's about another $100 million in the second half of the year that would get us to longwall production. Again, our initial target on that was $489 million. I think if you add that $100 million, you might get to about $495 million. So almost right on the dot.
Nicholas Giles: Great. That's really helpful. Maybe just on the restricted cash and collateral, can you remind us, are there any relevant time lines we should be thinking about as far as unlocking some of that restricted cash? Just don't want to leave anything out there.
Mark A. Spurbeck: Yes. There's about $520 million of that is related to the surety agreement with our reclamation providers for future -- bonding providers for future reclamation. We have been able to reduce that amount over the last year, 1.5 years. And really, that's done by continuing to do the reclamation work and getting bond releases. At the beginning of the year, we talked about a $100 million reduction. So we've had some pretty good success there. Again, it's lumpy as that work gets done and as bond releases get approved. But we continue to knock that down.
Operator: And this concludes today's question-and-answer session. I would now like to turn today's conference back over to Jim Grech for any closing remarks.
James C. Grech: Well, thank you, operator, and thanks to everyone for the time today. And I also want to make sure I give recognition to our Peabody team, which amid everything else that's going on, we are again turning in record safety performance on track to beat last year's performance, which was the best in our 140-plus year history. So very appreciative of that. So we look forward to keeping all of you up to date on our progress as the year rolls on. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.